Operator: Welcome to Twin Vee PowerCats Co. Year End 2023 Investor Call. As a reminder, this call is being recorded and all participants are in a listen-only mode. Your speaker for today's program is Joseph Visconti, President and CEO of Twin Vee PowerCats Co. Before I turn the call over to Joseph, please remember that certain statements made during this Investor Call are forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. All statements on this call, other than statements of historical facts, including statements regarding the company's future operation and final position, business strategy and plans, objectives of management for future operations are forward-looking statements. In some cases, forward-looking statements can be identified by terminologies such as believe, may, estimate, continue, anticipates, intend, should, plan, expect, predict, potential or negative of these terms or other similar expressions. The company has based these forward-looking statements largely on its current expectations and projections about future events and financial trends it believes may affect its financial condition, results of operation, business strategy and financial needs. These forward-looking statements are subject to a number of risks and uncertainties and assumptions described, including those set forth in the company's filings with the Securities and Exchange Commission, which are available on its website at ir.twinvee.com. You should not rely upon forward-looking statements as predictions of future events. We cannot assure you that events and circumstances reflected in forward-looking statements will be achieved or occur. Finally, this conference call is being webcast, and the webcast will be available in the Investor Relations section of the company's website at ir.twinvee.com for at least 90 days. Audiocast quality is subject to your equipment available broadband, bandwidth and internet traffic. If you experience unsatisfactory audio quality, please use the telephone dial-in option. A question-and-answer session will follow the presentation. Please note that only those that have dialed in via telephone may ask a question. Those listening via webcast will be unable to submit questions. [Operator Instructions] I will now turn the call over to Joseph Visconti.
Joseph Visconti: Good afternoon to everyone on the call today. Thank you for joining me and taking the time to participate in our 2023 year-end financial results. My name is Joseph Visconti. I'm the CEO and President of Twin Vee PowerCats. Today, I would like to discuss the status of the industry as a whole and update on our operations and performance and the progress that we have made this year as we move forward in 2024. Let's begin by providing an overview of the current economic conditions and the recreational sports market, encompassing marine RVs (ph) and other big ticket recreational products. Our industry has been facing challenges since the high seen during and after the pandemic. Elevated interest rates continue to exert downward pressure on demand across our industry. While these headwinds have presented challenges for Twin Vee, our team remains committed to pushing through with innovation, new designs and multiple new stylish products for both our iconic brands, Twin Vee and Aquasport boats. As we experienced the slowing of our industry demand, we have been proactive in rightsizing our business to align with the reduction of this demand. As of today, Twin Vee employs approximately 85 people and we are currently manufacturing between 10 and 14 boats per month depending on the model mix under our flagship brands Twin Vee and Aquasport. In terms of sales, we remain ahead of the curve in 2023, according to what's called SSI data, statistical survey data, which tracks all boat registrations, the saltwater outboard market, which is our category experienced the decline of almost 19% in 2023 compared to 2022. Comparatively, Twin Vee experienced an increase of 4% in sales for 2023 compared to 2022. While we experienced a slowdown in orders in early 2024, our team has undertaken measures to foster future sales growth throughout our product offerings while we optimize our operations and enhance cost efficiencies. Turning our attention to product development, we are excited to highlight our efforts to expand our product portfolio. Throughout 2023 and 2024, we have introduced or are in the process of developing many new products under the Twin Vee and Aquasport brands. I would like to highlight two of our new products, the all-new Aquasport 280 Super Boat and the Twin Vee 280 Dual Console. Let me start by talking about the 280 Super Boat. The new Aquasport 28-foot super boat with a first recreational fully autonomous production day boat. We have partnered with Avikus, a marine company specializing in autonomous navigation that was established by HD Hyundai, the largest shipbuilder. Our all-new 280 Super Boat has been designed and tools from the ground up for full autonomous integration, and the components such as the sensors, cameras, LiDAR and the black brain box all built right into the boat. This is an amazing project. This was not a strap-on add-on optional upgrade system. Our new Aquasport 280 Super Boat is truly a super boat. And this spectacular vessel should be ready for customer orders sometime around October 2024. Autonomous boat technology offers consumers a new level of safety and convenience. The boat will provide advanced route planning, smart autopilot navigation that identifies objects to avoid potential collisions and self-stocking capability. We anticipate the Super Boat will attract a new wave of buyers, tech enthusiasts to the market while still appealing to existing boaters looking for help with navigation and docking. We've also debuted the versatile Twin Vee 280 Dual Console catamaran. Twin Vee has been recognized for its dual console boats. In January 2022 Boat Trader, one of America's largest online boating marketplaces said our 24-foot Dual Console GFX was one of the year's seven best power catamarans. And in March 2022, Motor Boat and Yachting magazine named Twin Vee's 280 the center console, the best powerboat center console under 30 feet. Innovation, new designs and next-level products drive most industries and Twin Vee is no different. Our team of engineers, designers and boat builders are working on the next generation of our popular GFX boats. Our next-generation GFX line will be named GFX2, and we will be starting with the Twin Vee 260 GFX2 which will be in production next month. The Gen 2 products will include as standards in all digital switching backbone, our new tech forward digital switching enables touchscreen controls, but also results in a cleaner layout and design of our overall electronic system. The center console of our GFX2 has been completely redesigned to resemble what some would say a spaceship. You got to see this, the new GFX 2 console has improved styling, all new ergonomics and a huge single 24-inch multifunction display. We've updated color options, upholstery, styling and streamlined the console framing. So there's no aluminum hitting the floor. It's all integrated into the console. Our goal with the GFX Gen 2 was to make these boats stand out in the water, marinas or any dealer lot and the real excitement comes from the ability to configure your GFX2 straight from the factory with the latest innovations and navigation, fishing and water sports using our online build and price. For example, we will be offering base level autopilot packages that include cameras, optional night vision. We believe the future of boating and valves automating navigation and we like to think and we believe that we are on the forefront of integrating these important technologies into our boats for the safety and convenience of our customers. We will be showcasing these new boats at our dealer meeting, May 20 in West Palm Beach. Their representatives from Twin Vee's and Aquasport dealer network throughout the country, we'll learn all about our new 2025 boats, have the opportunity to see trial our latest products and discuss sales strategies, marketing initiatives and production updates. In support of the growth and development of our product line, and the introduction of Aquasport is our latest brand. I'm excited to announce that we are beginning construction in the next couple of weeks on our 25,000 square foot addition here in Fort Pierce, Florida. When construction is completed in the next six months to nine months, our new factory will encompass nearly 100,000 square feet of linear manufacturing for both Twin Vee and Aquasport. Additionally, we recently placed an order for the state-of-the-art CNC machine, a 5-axis routers scheduled to arrive in October. This latest addition to our production arsenal will enable Twin Vee to bring the tooling from our brand new boat models all in-house. This means that we'll be able to streamline our manufacturing process save on costs associated with outsourcing and enhance the quality of the boat molds as we use to build our products. Turning to our dealer network. Twin Vee has been working hard to supplement our dealer network with motivated partners who are just as passionate about our brands as we are. We're aiming to enhance our marketplace too. For example, we recently announced that we brought on a new dealer in Dubai. The first time in Twin Vee's nearly 30-year history that our products will be sold in the Middle East. Now let's look at our financial performance for 2023. While we are showing substantial losses on our financials, much of these losses are attributed to our consolidation of the Forza electric boat losses, our sister company under the symbol of FRZA. If you remove or pull out the Forza losses, from the Twin Vee's financials, Twin Vee's adjusted losses are $1.6 million in cash losses and our cash still remains over $8 million as of December 31, 2023. Looking ahead, we believe that we are setting up for solid growth with new products, technology, forward product expansion and an acquisition of 5-axis router, again, enabling us in-house to reduce expenses as we create these new products. We will be ready with two incredible new storied scalable brands, Twin Vee and Aquasport and we will continue to offer new product development in a variety of new innovative products. In conclusion, Twin Vee remains committed to navigating the challenges posed by the current market, while simultaneously setting ourselves up for success once conditions become more favorable, with our established brands, Twin Vee Aquasport, a pipeline of innovative products stemming from our strategic infrastructure investments and the growing dealer network, we are positioned to capitalize on emerging opportunities and come out from under this stronger on the other side. So I want to thank our investors, our stakeholders, our employees for their continued support. And at this time, I'd like to open it up for questions.
Operator: Thank you. [Operator Instructions] Okay. Our first question is from Richard Jackson (ph) with Jackson Investments. Please proceed.
Unidentified Participant: Yes. Good afternoon. Would you please comment on the resignation of the CFO of Twin Vee as well as the resignation of the CEO of Forza?
Joseph Visconti: Sure. So I spoke to the -- we had our previous call at 10:00 on Forza. So Jim Leffew, did tender his resignation. Jim when I asked him to join us as we were launching Forza to go public, Jim sold his previous company. He wasn't the owner kind of number two guy, and he went into retirement. I asked him to join us. And Jim and the team of engineers at Forza did an amazing job over the past couple of years. We raised over $25 million. We designed, built and was producing electric products. But over the past 1.5 years, we've all seen the EV market dramatically shift both on automotive side and on the marine side. So small cap, microcap companies have limited capital and my job is to make sure that we get to the other side and that we do not run out of cash. And I -- we pulled in the reins and started to slow down some of the R&D and the Forza kind of timing the development of our products and getting into market. And I think I don't want to put words in Jim's mouth, but I think he felt like he was just hired to kind of see this thing through. And as we kind of pulled in the reins, he decided to pursue other opportunities. So everyone left on good terms. We still speak. There's no problems. Carrie Gunnerson, our CFO, who is still here and committed to be here for the next 1.5 months and help with a smooth transition. It was completely unrelated, but oddly timed resignation and Carrie also chose to pursue other opportunities. I work 24/7. I probably very driven and motivated and competitive. And I probably tie a lot of people out. Again, I don't want to put words in anyone's mouth, but it's all good. I mean, we -- change creates opportunity. And we continue to have great relationships with both Jim and Carrie and we are interviewing right now for a CFO, and we feel confident that we'll be announcing a new CFO here shortly.
Unidentified Participant: Okay. Well, obviously not great optics. So yeah, you mentioned raising $25 million in cash. So you talked on the Forza call about reducing the cash burn, presumably you're doing the same thing with Twin Vee. And you mentioned that the, if you take the Forza cash loss out of there, it doesn't look as bad on Twin Vee. But if I'm looking at the tables correctly, you still went on the gas power boats from loss from operations of about $2.4 million to a loss this last year of $5.4 million on gas boats, so that's not great.
Joseph Visconti: So if you pull Forza out, the loss on operations, cash loss, EBITDA or cash loss on Twin Vee...
Unidentified Participant: Well, hold on, I'm not looking at EBITDA losses. I'm looking at your table, and I'm taking out the electric boat and development. I'm removing that from the equation as you have. So just the gas powered boats, the loss from operations according to your table is $5.4 million versus $2.4 million.
Joseph Visconti: So I don't have the CFO on the phone right now, but I can talk to you about this off-line. We have an operational loss on Twin Vee after you remove depreciation, amortization in Forza of about $1.6 million. And if you want to call me after I can get into the details on it, but that's -- what I don't know what you're looking at.
Unidentified Participant: Well, I'm looking at the table in your press release. It's right there. It says tables below and it says that it breaks it all out by gas powered versus electric boat and development for understandable reasons, but it's right there.
Joseph Visconti: Carrie, are you on the call? I think she might be on mute, but maybe Carrie can jump in here.
Unidentified Participant: Yeah. So in any case, you talked in the past in prior years even about reducing the cash loss and you have plenty of money and don't need to raise money and then you raise money. And here we are burning through a lot of cash and tough environment and all that. What are investors supposed to think at this point, given that you continue to raise money and dilute the stock of both companies and yet things are not looking too rosy out there. So where are we supposed to gather hope here that there won't be more dilution and the cash has declined quite a bit versus the prior year and still a strong balance sheet, but it's concerning.
Joseph Visconti: So we've come out of three of the most tumultuous business years that I've ever been in my 37 years of being CEOs of companies. And you went from the pandemic and then you couldn't get parts and then orders went through the roof and labor rates, the $20 guy went to the $40 guy, resin was being rationed. I mean I can go through the history of the ups and down challenges of managing this business and we continue to create new product. We never stopped innovating. We continue to kind of -- I understand that we've spend some money. I don't think it's as bad as you are articulating but...
Unidentified Participant: Hey. It's not a question of me articulating. I'm reading from your tables. It's right there in the financials. I mean it's a question I don't have any…
Joseph Visconti: And we continue to -- we grew 100% two years ago. We all know what happened with these interest rates. They were 3% as high as 8%, even higher at sometimes when you're purchasing a recreational an RV or a boat, the family, the plumber, the electrician that was buying $100,000 boat that payment that was [indiscernible] a month, it's now $1,000 a month, that buyer essentially went away. It is then -- the shifting of the economics over the past three years has been dramatic and aggressive in both ways. Now we are targeting larger cash buyers were our 40-foot is leading the way. So our $1 million boat, our 34-foot is selling. So I understand we were at 250 employees 1.5 years ago, we're down to like 85 people. I mean, I feel good that we've continue to like come out with new product. The losses are not as great as your -- I'd like to talk to you about it with the CFO online. I have different numbers in front of me. And if you take out the Forza losses, the actual cash losses of Twin Vee are not that bad comparatively what we’ve experienced over the past year.
Unidentified Participant: Okay. Well, again, that’s not what it shows new tables. But in any case, I’ll let other people ask the questions. I think you’re going to have a little bit of a hard time getting investors excited when you’re basically saying that the CFOs resigned, the CEO of Forza has resigned. Business is difficult. We’re burning through more cash. We have less cash. So if you can sell that, but that’s a tough sell, but I’ll let other people chime in.
Operator: [Operator Instructions] With no further questions in the queue, I would like to turn the conference back over to Joseph for closing remarks.
Joseph Visconti: Thank you, everyone. I want to thank you for spending your time with us today and your confidence to shareholders, employees, stakeholders and have a great day. Thank you. If you have any other questions, please e-mail us at Glenn at Twin Vee, glenn@twinvee.com, and we'll get back to you right away. Thank you so much, everybody.
Operator: Thank you. This will conclude today's conference. You may now disconnect your lines and thank you for your participation.